Operator: Good morning and welcome to the Allegheny Technologies Incorporated Second Quarter 2017 Results Conference Call. All participants will be in listen-only mode. [Operator instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator instructions]. Please note this event is being recorded. I would now like to turn the conference over to Dan Greenfield. Please go ahead.
Dan Greenfield: Thank you, Amy. Good morning, and welcome to the Allegheny Technologies conference call for the second quarter 2017. This conference call is being broadcast on our website at ATImetals.com. Members of the media have been invited to listen to this call. Participating in the call today are Rich Harshman, Chairman, President and the Chief Executive Officer; and Pat DeCourcy, Senior Vice President, Finance and Chief Financial Officer. Also attending are John Sims, Executive Vice President, ATI High Performance Materials & Components segment; Bob Wetherbee, Executive Vice President, ATI Flat Rolled Products Group; and Kevin Kramer, Senior Vice President, Chief Commercial & Marketing Officer. All references to net income, net loss, or earnings in this conference call, mean net income, net loss or earnings attributable to ATI. If you have connected to this call via the internet, you should see slides on your screen. For those who have dialed in, slides are available on our website, ATImetals.com. After some initial comments, we will ask for questions. During the question-and-answer session, please limit yourself to two questions to be considerate of others on the line. As always, we will make every attempt to reach everyone in the question-and-answer queue within the allotted conference call time. Please note that all forward-looking statements this morning are subject to various assumptions and caveats as noted in the earnings release and on this slide. Actual results may differ materially. Here is Rich Harshman.
Rich Harshman: Thank you, Dan. Good morning to everyone on the call or listening on the internet. Second quarter 2017 results represent progress in achieving our goal of sustainable long term profitable growth. Revenues grew by 9% compared to the second quarter 2016. Operating profit was $71 million or 8% of sales and net income was $10 million or $0.09 per share. Looking our two business segments, our High Performance Materials and Components Segment results were driven by strong sales of our next generation jet engine product. Segment operating profit reached nearly 13% of sales. Our Flat Rolled Products segment operating profit was $3 million during a period of low and falling raw material prices. That quite an accomplishment in a challenging environment and demonstrates the progress made so far as we continue to reposition this business. To provide an enhanced liquidity cushion, we completed the extension of the asset base lending facility to 2022, including the extending of the maturity of the $100 million ABL term loan to 2022. Turning the slide five, this six quarter view of our High Performance Materials and Components Segment results, shows the benefits of growing demand from the aerospace market and the actions we have taken thus far to improve the segment’s cost structure. We remained on track in the first half of 2017. High performance jet engine sales increased 11%, highlighted by a 27% increase of forged product sales in the first half of 2017 compared to the first half of 2016. This is consistent with our previous comment that specialty materials mill products sales lead the next generation ramp as they did in 2016 and continue to do, followed by increased sales of our forged products. In the second quarter, operating profit reached nearly 13% of sales. Second quarter operating profit of $68 million was more than the segment’s operating profit in the entire first half of 2016. And 40% of the segment’s jet engine sales were next generation products. Second quarter High Performance Materials and Components results demonstrates the power of the mix. Sales increased 3% compared to the first quarter of ’17. Segment operating profit was $68 million compared to $51 one million in the first quarter. That’s a 33% increase in operating profit on a 3% increase in sales. Second quarter performance was driven by strong sales of our next generation materials in forgings. As reported in April, first quarter performance reflected jet engine supply chain balancing that resulted in a higher mix of legacy mill products. We expect our second half 2017 high performance segment to sustain strong performance in commercial aerospace, while noting that the legacy to next generation jet engine transition, remains at a relatively early stage. We continue to expect the high performance segment to achieve low double digit operating profit for the full year 2017. We remain very positive about the long term profitable growth prospects of our High Performance Materials and Components business. However, as we have stated in the past, we temper our quarter to quarter expectations, recognizing that quarterly operating profit improvement may not be linear due to periodic supply chain rebalancing, which can impact product mix and shipment volumes. Turning the Slide six, second quarter 2017 Flat Rolled Products segment sales were essentially unchanged from the first quarter of 2017 at $354 million. Demand was consistent with the first quarter across our major end markets. Flat Rolled Products segment operating profit of $3 million or nearly 1% of segment sales. Falling raw material prices for ferrochrome and nickel resulted in an out of phase surcharge condition where higher cost materials sold at lower surcharge based selling prices, based on the timing of the manufacturing cycle. The price of nickel, based on LME monthly average, fell from $4.82 in February to $4.03 in June. Importantly, Flat Rolled Product segment results are continuing to show the benefits of our significant cost reduction and operating improvement initiatives, including benefits from the hot rolling and processing facility. We’ll discuss this in greater detail in a few moments. But first, here is Pat DeCourcy to comment further on our second quarter results. Pat.
Pat DeCourcy: Thanks, Rich. Turning to slide seven, at June 30, 2017, cash on hand was $155 million and available additional liquidity under our ABL was approximately $250 million, with $60 million borrowed under the revolving credit portion. We generated $25 million of cash flow from operations in the second quarter 2017, even with $51 million invested in additional managed working capital in the quarter to support business growth as we ramp to higher production levels. We expect managed working capital to be a source of cash of approximately $50 million in the second half of 2017. We continue to estimate that 2017 capital expenditures will be $125 million, with $55 million spent in the first half of this year. We are at the end of our extraordinary capital expenditure cycle that has transformed and modernized ATI. We also made a $135 million cash contribution to the ATI pension plan in March 2017, which completes our funding requirements for the year. Cash generation from operations remains a key focus. We generated positive cash flow from operations in the first half of 2017 of $50 million, excluding the ATI pension plan contribution, even with the modest growth in managed working capital. We do not expect to pay any significant US federal income taxes in 2017 due to net operating loss carryforwards, and we intend to carefully balance our working capital and other cash needs with the pace of our capital expenditure requirements and financing obligations. We are focused on creating long term shareholder value by returning ATI to sustainable profitability, strengthening our balance sheet and restoring and maintaining financial flexibility and strong liquidity. Closed operations and other expenses in the second quarter 2017 were $13 million or $10 million higher than the first quarter of the year. The first quarter benefited from certain non-routine items involving property tax adjustments, changes to facility closure reserves and non-operating royalty income. Closed operating costs in fiscal year 2017 are expected to be higher than fiscal year 2016 due to the additions of Rowley Utah, Midland PA and Baghdad PA facilities, as a result of prior year closure actions. For modeling purposes, we suggest the use of $8 million to $10 million per quarter of closed and other costs for each of the third and fourth quarters of 2017. Now I’ll turn the call back over to Rich.
Rich Harshman: Thank you, Pat. Turning to Slide eight, for the first half 2017, sales for the earth, space and defense market were 49% of total ATI sales. Commercial jet engines accounted for 27% of sales. Commercial airframe represented 14%, and sales to government aerospace and defense were 8% of sales. Demand from the oil and gas market is recovering slowly. During the second quarter, we saw continued improvement in downstream applications for the chemical processing and hydrocarbon processing applications. Of note, our Flat Rolled Products business has now achieved five successive quarters of growth in the downstream market. Total direct international sales represented 40% of total ATI sales. Turning a slide nine, we provide information on the three sectors within ATI’s aerospace and defense market. Our jet engine business has been growing and we expect that trend to continue and to accelerate. We have been awarded significant content and legacy and next generation jet engine programs, particularly content gains of our differentiated alloys, forgings and titanium investment castings. We have already discussed our strong jet engine business and we will provide more detail on the new long term agreement with Pratt & Whitney announced earlier this morning, and our joint venture with GE Aviation announced several weeks ago, in a few minutes. An update on our titanium investment castings business, which has been experiencing growth challenges. While more work remains, our operating team, led by John Sims, continues to make significant progress in an increasing capacity and improving delivery performance, as a result of the many actions taken throughout the last 12 months. We have made and are continuing to make significant progress on ramping up production to meet the expectations of our customers. We expect to be well positioned to meet the growing demands of our customers by the end of 2017, and for the castings business, to return to profitability in 2018. Our airframe sales have been steady this year as expected. We expect overall volume and product mix to improve in the second half of the year. Defense is a target growth market for ATI, as we have discussed. We expect our defense sales to improve in the second half of 2017, primarily due to increased sales to naval applications. As noted in this morning’s news release about our new long term agreement with Pratt & Whitney, we have gained content on Pratt's F-135 engine, which powers the F-35 jet fighter. Also, we are seeing growing interest in our flow form products for defense applications and we expect this interest to turn into demand as we move beyond 2017. Turning a slide 10, the new Pratt & Whitney long term agreement is for the supply of isothermal forgings and nickel based powder alloys for next generation jet engines. The agreement begins in 2017 and continues for the life of the engine programs. For the period 2017 to 2030, the LTA is expected to generate revenues in excess of $1 billion. Through this agreement, ATI significantly increases our content on the game-changing pure power geared turbofan engine, as well as on the Pratt &Whitney F-135 engine for the F-35 joint strike fighter program. The LTA recognizes our leading technologies, broad manufacturing capabilities and operating reliability within the jet engine supply chain, made possible by ATI’s integrated technologies and manufacturing capabilities from nickel based powder - nickel based alloy powders, through isothermal forgings to machine parts. Forging of the parts has begun on a conversion basis using billets supplied by Pratt & Whitney. Our forging backlog from this long term agreement continues to grow. For the second phase of the agreement, ATI is in the process of being qualified for an advanced Pratt & Whitney powder that we will manufacture into billet product, which we will then manufacture into a forged part using our isothermal forge capabilities. During a recent ATI conference call, an analyst asked for guidance on the expected returns from our new $70 million Baker powder operation investment in North Carolina. Now we have one of what will be several examples, a $1 billion long term agreement with a strategic customer. Our investment in this new powder capacity enables this new relationship and long term agreement with Pratt & Whitney. Turning the Slide 11, while we expect immediate benefit from the Pratt & Whitney long term agreement, the joint venture with GE Aviation is an advanced R&D project focused on the technology of meltless titanium, an innovative new way of making titanium alloys powders. Someday in the future in my view, we’ll look back and we’ll say this agreement is an inflection point in the broader use of titanium alloy powders in additive manufacturing. That is the goal of this joint venture. We are excited about this collaboration with GE Aviation and about the potential of this technology. The joint venture is 51%, 49% owned with ATI as the majority owner. A small production scale facility will be built and is expected to be operational by 2019. It will be located on ATI owned property. ATI's investment falls within our previously announced capital spending guidance. Upon successful demonstration of this innovative technology, the partners’ expectation is to construct a full scale production facility. This is a novel process that is expected to replace the way titanium sponge and titanium alloys are made. Meltless titanium uses a chemical process to go directly to alloy powder, is a lower cost process to reduce the steps in producing the titanium alloy powders. The process uses lower cost raw materials and it makes possible the production of novel alloys that cannot be made using existing technologies. While it is difficult to schedule game changing innovation of this magnitude, both parties believe that this technology is viable and the goals are achievable. Turning to Slide 12 and ATI’s differentiation in jet engines and next generation growth. The Pratt & Whitney long term agreement adds to our differentiated product portfolio as we add a new nickel based powder billet product. Our isothermal forging business also grows. Our meltless titanium joint venture with GE Aviation, adds to and enhances our already industry leading offerings of powders for 3D printing applications. Note the box key additive powder revenue programs for some of the 3D printing applications we serve today. In summary, ATI’s economic and technology moat continues to widen. On Slide 13, it represents where our differentiated alloys are used in a representative jet engine. I’d like to point out the items seven, the high pressure compressor section of the engine, which is a major focus area of ATI’s technologies. As you follow the green line, you'll note that there are several alloys or products represented. ATI 718 is a legacy alloy. While it is used in several next generation engines, it is the most common legacy nickel based super alloy for jet engine applications. 718 share of the engine is being replaced in next generation engines by ATI’s differentiated products. ATI 720 is an ATI differentiated alloy used more commonly by Rolls Royce. It is isothermally forged. Rene 65 is a GE Aviation alloy that is an ATI differentiated alloy. It is a hot die forged alloy. Rolls Royce 1000 is a Rolls Royce powder alloy. And Rene 88 is a GE Aviation powder alloy. And powder alloys are isothermally forged into parts for the jet engine. Moving to slide 14, net of the raw materials pricing issue, our Flat Rolled Products business is making good progress toward achieving our goal of sustainable long term profitable growth. As we have said, this is a journey that takes some time but we continue to make progress. During the second quarter of 2017, falling raw material prices for ferrochrome and nickel resulted in an out of phase surcharge condition where higher costs materials sold at lower surcharge based selling prices based on the timing of the manufacturing cycle. As is shown on the graph, the monthly average LME nickel price fell from February through June. The green arrow connects the May LME the nickel price with the June type 304 stainless surcharge. Our nickel costs in May are not fully recovered in June. Also note that the ferrochrome charge is now in effect for an entire quarter. As seen in the chart, the LME monthly average nickel prices picked up a little in July. Is this a trend? We'll see. Time will tell. Stable raw material prices are better than falling prices. Steadily rising prices are the best. One way or another, we prefer low volatility, but we have no control over this issue. So we focus on issues within our control. Our Flat Rolled Products business is getting better due to our focus on continuous improvement, and product mix enhancement, with a relentless focus on growing our differentiated Flat Rolled Products. We list a few examples of our continuous improvement efforts on the slide. There’s no need for further explanation other than to emphasize that our Flat Rolled Products team led by Bob Wetherbee, is laser focused on continuously and quickly improving operating performance. The product mix is improving and we are selling and growing share as a result largely of our new hot rolling and processing facility, which results in new product capability for ATI. The coil size and shape consistency capability provided by the HRPF is becoming more widely recognized in the market. Aerospace is a target market for growth for our Flat Rolled Products. We seeing many new opportunities and are in the process of qualifying our titanium and nickel based alloy Flat Rolled Products at OEMs and tier one suppliers. The Flat Rolled product segment largest market is oil and gas. The market is slowly recovering and we are improving our competitive position and winning orders. Here are a few examples. We received orders from new customers and are being qualified by the new customers who like our new nickel based and specialty alloy sheet strip and plate products. Because of our wider sheet width, which is enabled by the HRPF, we secured an order for a medium sized nickel based alloy clad pipe project located in Southeast Asia. The material is scheduled to begin shipping in the third quarter. Turning to our HRPF conversion services update, because of the products we are making and the capabilities the market is seeing, the HRPF is getting to be known and we are pursuing several conversion opportunities with domestic and international producers. We currently have a number of projects at the trial and or evaluation stage that have significant utilization and cash generation potential. We’ll communicate more to you when we can. Moving to slide 15, second quarter 2017 performance in our High Performance Materials and Components segment, demonstrates the power of product mix and higher operating volumes on operating profit. On 3% of sales growth, operating profit improved by 33%. The quarter symbolizes the earnings leverage ATI has to the next generation jet engine cycle and to growing demand, not only from aerospace, but from other end markets as well. That said, we are cautious since the legacy to next generation transitions remains at a relatively early stage, which can and does cause some quarter on quarter variation in segment operating profit. For the full year 2017, we continue to expect the High Performance Materials and Components segment revenue to grow at about 10% from 2016, and segment operating profit to be in the low double digit level as a percentage of sales. We expect our second half 2017 High Performance segment results to sustain strong performance in commercial aerospace. We continue to enhance ATI’s leading position in next generation jet engines, as demonstrated by our recent announcements about our JV with GE Aviation and our long term agreeing with Pratt & Whitney for powder and forgings. Based on discussions at the Paris Air Show and our interactions with strategic customers, we remain confident about increased demand for mill products, forgings, castings and components from increasing next generation and legacy jet engine build rates over the next several years. While more work remains, our Flat Rolled Products segment is making progress towards sustainable profitability. We continue to reposition this business to a higher value product mix and continue to benefit from the HRPF capabilities and overall improved operating efficiencies. We also continue to seek opportunities to leverage the capabilities of the HRPF through conversion agreements and or joint ventures to advance our long term profitable growth objectives. For the full year 2017, we continue to expect our Flat Rolled Products segment will be modestly profitable. We expect the Flat Rolled Products segment to deliver an improved product mix and to continue to realize operational improvements in the third quarter. However, we expect the quarter to be negatively impacted by the recent fall in raw material prices, especially ferrochrome and nickel as we have discussed. This is expected to significantly reduce profit margins as a result of out of phase raw material surcharges. This condition is likely to continue until raw material prices stabilize. As a result, we expect the Flat Rolled Products segment to operate at a loss in the third quarter of 2017. We've had an extended maintenance outage at our Latrobe, Pennsylvania Flat Rolled Products nickel based alloy melt shop to replace a faulty electrical transformer. We installing a replacement transformer now and expect the facility to restart next week. At this point, we expect no significant interruption of shipments in the third quarter. A few final comments on our Flat Rolled Products business. Our focus will remain on taking actions on opportunities and addressing challenges that are within our control, to position this business for sustainable profitability. We do not have the ability to control raw material prices, especially nickel and ferrochrome. We do not have the ability to control trade policy. We do have the ability, to a large extent, to implement strategies and take actions that improve our ability to make differentiated products that create value for customers and shareholders, and to improve our cost structure and operating efficiencies. We are determined to reposition our Flat Rolled Products business so that it remains profitable regardless of raw material prices and regardless of trade policies. Looking beyond 2017, we will be relentless in our continuing focus to enhance ATI’s technology leadership in differentiated specialty materials, generate healthy cash flow from operations, improve our competitive cost position and strengthen our balance sheet. Amy, may we have the first question please?
Operator: [Operator instructions]. Our first question is from Richard Safran at Buckingham Research Group.
Richard Safran: Good morning everybody. Rich, I'd like to ask you a bit of a - first, a multi-part question here on the agreement on Pratt. You’re increasing content. You’re gaining share on the power geared turbofan and 135. Is it possible for you to give us how much content you now have on each engine and what displays? And if you can't give the exact number, could you frame it in reference maybe to other engines? Now also, you state this is part of a master terms agreement. I was wondering if you could maybe in your answer, explain that in a bit more detail. And then finally, if you could comment on what allowed you to gain share here. Was it better technology? Was it lowest cost, something else, etc.?
Rich Harshman: Okay. No, those are great questions. I think on the first part, what’s the magnitude of the share gain? We have very - we currently have very little content with Pratt and we've discussed that in the past. I mean ATI, both from a material standpoint and from a parts and components standpoint, has largely been more GE Safran, Rolls Royce focused with very little content on the Pratt programs, which makes sense because prior to the geared turbofan, Pratt really wasn't a significant participant for the last generation in the commercial jet engine market. So I think the way we look at this, this is a significant growth for ATI from a materials and from a forging standpoint from the base that we had. What enabled it in my opinion is our capability and our reputation and our technology. You always have to be competitive on the pricing side. We view this long term agreement as a win-win. We're not interested in agreements that are win lose where ATI is the loser. So we think it's a fair agreement for both sides. Obviously Pratt & Whitney did as well or we wouldn't have it. But it's really the ability that we have from an integrated standpoint to go from powder to billitizing that powder, to producing an isothermal forging that makes all the properties and requirements of the demanding parts, which are typically rotating parts. And that's the historical strength quite frankly of ATI. So that's why I think they were interested in us and we were certainly interested in them. On the MTA side, I'm going to ask Kevin Kramer to comment on that. The MTA was a very lengthy negotiation over a number of years with UTC, and I'll have him comment on that. But it's a precursor really to developing and executing long term agreements like the one we announced. Kevin.
Kevin Kramer: Rich, good morning. The master term agreement is a 10 year agreement that to Rich’s point, we signed at the end of 2016. It's a framework agreement that both allowed the Pratt & Whitney contract to get facilitated. But just as importantly, we view the opportunities at UTAS, at Otis, and the climate control division of UTC, to also offer, I’ll say similar type opportunities to provide differentiated product, especially important for Flat Rolled Products. Again, as in the cases Rich mentioned, our relative share of both the Pratt and UTAS was relatively small. We would say the same thing for Otis and the climate control division.
Rich Harshman: John Sims - John, do you want to add anything on the content part or the enablers for what I've said?
John Sims: Yes, Rich. Good morning, Rich. On the content side, I would say from a 2017 impact, those are already reflected in our results as we've been operating in the spirit of the agreement since the beginning of the year. I think as Rich referenced, we expect that content to grow over time and reach maturity towards the end of the five year period and growing beyond that through the 2030 period. And again, these are life the program type requirements contract.
Richard Safran: Thanks for that. Second question. So I wanted to ask about these conversion agreements that you referenced in the slides and what they mean. At one point, and I think you said something about this on the call, Rich and I may have missed it, at one point in time you were looking for JV partners and I thought you said that that effort was still continuing. Now, is it correct that these agreements will use HRPF capacities and just provide you with steady amounts of cash? I mean is that the plan and that they don't follow through the P&L? And maybe if you could discuss also how much of the HRPF capacity you’re planning to cover under these conversion agreements and when is the earliest that these agreements will actually have an impact on cash?
Rich Harshman: Okay. Yes, I'll make some comments, then ask Bob Wetherbee to add on to it. I don’t think we've changed our view that how do we get the maximum - how do we realize the maximum benefit from the HRPF investment? It's not just about the products that we make, because as we've discussed many times what the capabilities of the HRPF and what the capacity is. So we have been focused and we remain focused on how do we utilize the capacity that’s there that is not required by us, either through a polling arrangement or a joint venture type of arrangement. From our perspective, both of those opportunities or structures remain on the table, and there are parties interested in both approaches. So it really depends upon what we think makes the most sense for ATI and obviously the other party, it has to make sense for them too. But I think the opportunities are there for both of those kind of structures going forward. Regarding the other parts of the question and how these agreements would work and be framed, I’ll have Bob comment.
Bob Wetherbee: Certainly. Good morning. I think Rich - the interest in the HRPF continues to be in its technical capability. 82 inches wide, heavy gauge coiling, grade surface, phenomenal properties and certainly the edged heads, tip to tail gauge control. And so the people engaged with us on the conversion agreements really see the opportunity to differentiate their product. So as we go through the trials, it's more of a validation of that capability and how far they can take that product to differentiate themselves. So we expect that to occur through the third quarter, start to see the supply chain getting built in the fourth quarter and we do expect a significant impact by 2018. Cash flow is our prime motivation candidly with the HRPF. We have the capacity to dedicate up to 50% of the HRPF's output through toll conversion. That was the original design. We believe we can achieve that in the near term and probably exceed that over the long term.
Rich Harshman: Yes. So Rich, how that would flow through, I mean obviously it’s conversion sale, right? I mean when we sell the capacity there on a conversion basis, there's a polling arrangement that gets reported as a sale. If you look at it, is there some direct margin gain from that? Yes, generally speaking but really the bigger benefit is on the utilization and the absorption of the costs, which are fixed in that operation and in every product that ATI makes that goes across, all of our products go across the HRPF and the cost structure of everything we make is benefited by increased utilization of the HRPF. And therefore that turns into improved margins and improved cash flow.
Operator: The next question is from Chris Olin at Longbow Research.
Chris Olin: Good morning. A quick question. With all the discussions out there surrounding the section 232 investigations into carbon, steel and aluminum, I guess I was wondering two things. One is, do you think there could be a potential benefit for ATI should there be some type of tariff placed in the marketplace? Have you had any discussions with the Department of Commerce? Did you get a chance to meet with Wilbur Ross? And I guess second to that, kind of tying to the HRPF story, are you having more discussions with carbon steel makers should something like this kind of play out? Thanks.
Rich Harshman: Yes. I think the Section 232 remains viable and active as you know and I'm sure are reading. We did participate in dialogue and information exchange, largely through SSINA, which is the industry trade association for specialty steel producers in the US. There's also a tie in back on the defense side obviously that we're pretty significant player and participate in - participant in. So we shared information in that way. I think that the kind of products that we make are being looked at and considered under the Section 232, which is really a focus on the defense industrial base in the - as broadly defined in the capabilities of the US from a national security standpoint. I mean that’s the fundamental focus of Section 232. So yes, I think that they're - depending upon what decisions are made, I think there's a direct upside potential for ATI and we remain actively engaged in that dialogue. We'll see what the end result of the administration’s decisions are. On the carbon side, I think clearly some of the capabilities that the HRPF provides, along with the focus of Section 232 and the focus of Buy American policies on infrastructure build where taxpayer dollars are funding it, I think that some of the current activity that we're seeing of interest from the carbon steel side on the HRPF, is if not directly tied to the Section 232, certainly indirectly tied. So I like to think and I believe that it's more than just Section 232. It's about what the product requirements are, how the markets are evolving for certain carbon steel products, not only in advance steels, but also in the oil and gas market and in some of those alloy systems, and people are looking at what the capabilities of the HRPF is, which are real and demonstrated, and how it can be a capital efficient way for them to produce products that they are otherwise not able to produce.
Chris Olin: Okay. That’s all I had. Thanks a lot.
Operator: The next question is from Phil Gibbs at KeyBanc.
Phil Gibbs: Good morning. I just had a question on the revenue growth targets for the high performance metals business. Are we still thinking that in 10% growth or roughly $200 million in year over year revenue gains, is intact right now or is there - or are there puts and takes now with that outlook?
Rich Harshman: No. I think as I said in my comments, I think that we remain - we think that that's still a viable objective for the year on a year over year basis. So we still think that that's possible.
Phil Gibbs: Okay. And then on the oil and gas market, can you talk about what you're seeing there in both the Flat Rolled side of things and the bar side of things?
Rich Harshman: Yes. Kevin, you want to take that?
Kevin Kramer: Sure. Phil, good morning. We’re starting to see, I would call modest uptick in purchases, a lot of quoting activity. There’s been I think destocking across the market. I think the major oils have in large part replenished a lot of their surplus inventory, but it's going to be a very gradual improvement. As we know in oil and gas, it always goes of slower than it goes down. But I think we remain very hopeful through ’18 and ’19. We’ll start to recover back to approximately a ’16 type revenue look.
Rich Harshman: Bob, you want to add?
Bob Wetherbee: I would say - good morning. We've spent the last 12, 18, 24 months getting qualified on a broader customer base, both in South America and Europe and we're still well positioned to capture a greater share of that growth in our flexible flow lines and some of those offshore feeder systems as we go into 2018. We’re actually starting to see that in the back half of half of ‘17 where the order patterns are a little bit stronger than they have previously predicted. And we expect to see that materializing in 2018.
Rich Harshman: Yes. Phil, I think from the - I think the oil and gas market in ‘17 is better than it has been in the last three years, right? But it's certainly far from what it was in ’13 and ’14. And we don't look at it as maybe returning to those kind of levels over the next couple of years, but we do think that there is some significant pent up demand in the supply chain, number one. number two, there is significant investment going on in working with customers on alloy development and product form development, including things like flow form processing that clearly shows that the big integrated oil as well as the big oil services providers, are looking for value add technologies and willing to make decisions and choices on the basis of a lifecycle cost as opposed to an acquisition cost. So those are the opportunities in a down market that we are intimately focused on because we believe that the oil and gas market is a strategic market, will remain a strategic market for ATI and will provide significant growth opportunities for us over the next three to five years.
Phil Gibbs: I appreciate that. One last one if I could for Pat. On the titanium, I think part of it was rationalization and part of it was cost savings due to starting to outsource some of the input costs again and you had some targets I think of $50 million annualized. Where are we right now in that process in terms of getting to that type of number and should we expect any incremental benefit in the second half? Thanks.
Pat DeCourcy: Yes. we are right on track, Phil on our savings estimates for the full year through the first half, and we're projecting additional gains in the second half on both the cost structure elements, as well as cash. And that's part of my cash flow generation comment that you see in the second half for managed working capital. We will continue to see a benefit generated through the end of the year. So we are absolutely on track with our estimates.
Phil Gibbs: Thanks very much.
Operator: The next question is from Josh Sullivan at Seaport Global.
Josh Sullivan: Good morning. Can you just expand on the comments, uneven nature of the jet engine transition? Did OEMs build up an inventory of product ahead of the ramp or is it just a natural ramp up dynamics?
Rich Harshman: No. I think it's a natural ramp up dynamics. You saw a little bit of that in the transition from the fourth quarter of ’16 into the first quarter of ‘17. The second quarter was what I would say from our perspective, based upon the engine build, a more normalized expectation of the percentage of differentiated new product versus more legacy products. I think that the supply chain - I mean if you think about the jet engine ramp specifically, it's a challenging ramp. There’s a lot of new programs. There’s a more complicated supply chain. I think it's fair to say in this ramp and in any other ramp in history, it’s a more global supply chain. So when you look at the balancing that goes on in terms of customer pools, when the pools happen, it is very difficult to predict what the timing of some of the pools are. We have seen examples where very strong pools that happened late in the quarter, that the customers require the material in the last couple of weeks of the quarter, and then it doesn't repeat itself in the next quarter. So from a planning standpoint and a forecasting standpoint, it's a challenge. But I wouldn't say - I mean it's not troubling from the standpoint of is there anything unusual going on in the supply chain or any changes in terms of the makeup of the overall demand? I just think that it's not linear. On a quarter to quarter basis, it doesn't appear to be linear at this stage of the process. I think as you look further downstream in ’18 and ’19, where the transition is clearly more into the next generation engine platform from the legacy platforms, I think you'll see less volatility on a quarter to quarter basis.
Josh Sullivan: Okay, great. And then just switching over to Flat Rolled real quick, you made some comments just Flat Rolled, get Flat Rolled profitable regardless of raw material prices going forward. What other actions or processes do you think you can put in place to make that happen?
Rich Harshman: Yes. There are some I can comment on and some that I can't. I think the real focus on the differentiated products that have longer demand cycles I think is part of it. I think we can do a better job quite frankly of minimizing the impact of raw material volatility through lean manufacturing processes and improve inventory cycle times. So we can control some of that to a degree, but it's very difficult because of how these surcharge mechanisms work of when you have the kind of raw material cost volatility from month to month or surcharge period to surcharge period, it's just impossible to offset that. Historically, on a pure P&L basis and some of our competitors are able to do it because they're on LIFO accounting, right, LIFO inventory accounting. So we would be seeing some of that offset in LIFO, but because of our overall debit position and the establishment of the net realizable reserve, we can't - you're not seeing some of that. So I think clearly there are some things within our control that we can do better on. There’s a focus on the differentiated products and there are some things that we're taking a hard look at in terms of on the commodity stainless side, what can we do to improve our position there?
Bob Wetherbee: I think that's right, Rich. I think the speed of inventory through the pipeline is a huge enabler that the HRPF created for us. It used to be a four to five week cycle from cast to a hot band in the three weeks. And when you take two weeks out of that cycle and then the reliability and the quality downstream take another two, three weeks out, all of a sudden you're seeing those inventory turns, and the impact of the metal lag or the price lag reduced.
Rich Harshman: Yes. And I think also on the - part of the big driver really in the second quarter and to a greater degree in the third quarter, is really a change in the ferrochrome price. And the industry, the US producers went to a different ferrochrome surcharge mechanism that we benefited from in the first quarter and was somewhat neutral in the second quarter, but will be hurtful on the P&L basis in the third quarter. I think over time that will level out and you won't see that kind of a volatility, at least I hope. I think also the volatility in the ferrochrome, and this has been written about, has been due to some of the speculators really playing some interesting games in driving ferrochrome positions, and therefore artificially, not from a supply and demand standpoint, but artificially impacting the increase and then the decrease in ferrochrome prices. And the speculative move of some of these raw materials, especially one that’s so - it's not a very liquid market. Like ferrochrome can raise some challenges to producers and that's what we're seeing.
Josh Sullivan: Okay. Thank you.
Operator: The next question is from John Tumazos at Very Independent Research
John Tumazos: Thank you very much. Would you explain the 5% gain in standard products the first half share of revenue offset by a two point drop in high nickel alloys and three point drop in titanium? I guess the titanium is part of the airframe. It's just curious because the jet engines that are improving are probably made of high nickel, high alloys or titanium side.
Rich Harshman: Yes. Those numbers are all relevant for the Flat Rolled Products business. So I’ll have Bob comment, then I'll add.
Bob Wetherbee: Okay. Good morning. So I think on the standard stainless business, you’re seeing that sales drop as much due to the surcharge decline into the second quarter, if anything I think we're better focusing on the value over volume. I think we see the growth into Q3 for the specialty materials nickel, specialty stainless. I think that it’s driven by the aerospace demand and oil and gas.
Rich Harshman: Yes. I think titanium is easy to explain. The titanium side in Flat Rolled is not aerospace related. That's industrial titanium applications and the industrial titanium market is a challenge globally, at the global market. Our participation in that is through Uniti, the joint venture with VSMPO. It can be project related where Uniti goes after some projects that they think look attractive and backs off of projects that don't look attractive. So you're going to see in this market, with the industrial demand being relatively weak and pricing being relatively weak, you're going to see some volatility on that side of the business. On the nickel alloy side, in terms of pure dollars, I assume that's what you're talking about, John is dollars. Their - I think that's going to be largely driven by what's the price of nickel. So I think from the standpoint of overall business and nickel Flat Rolled, we are growing that business. We are winning on the aerospace side. We're winning some content through long term agreements on the oil and gas side, which is another demand driver for nickel Flat Rolled. A lot of that is project related as opposed to being sold through distribution or something like that. So that's the timing of the product of the individual projects. And I think on the stainless side, on the standard grade stainless side, we go after orders and opportunities that we think we have a chance to make a more attractive margin in, and we back away from those which don't. So it really depends on any kind of a comparative basis. What are the opportunities and what are we going to go after and what we're going to stay away from.
John Tumazos: Thank you. Could you venture for higher performance materials and components, how much the revenue growth might be next year, if it would be more than 10% and $200 million for this year?
Rich Harshman: Yes. We’re not going to - I mean at this stage, we’re not going to give any guidance in terms of what we see about 2018. I think there will be growth. I expect there to be growth on aerospace because the build rates in terms of the next generation platforms are up and they're up considerably. I think our content on the engine programs continues to grow, both on the material side as well as on the forged parts side. I think we will recover and have profitable growth in castings business. So I would expect a significant improvement, all things being equal in the high performance business as it pertains to aerospace. And I'm hopeful also that we’ll see an improving market condition in oil and gas, which is also an important market for that segment. So we'll see. I mean at the appropriate time, we'll have our comments and views on 2018.
John Tumazos: Thank you.
Operator: The next question is from Timna Tanners at Banc of America.
Timna Tanners: Good morning. So I guess just to follow up on the last question, taking a step back. In the past, you’ve talked about at least 20% operating margin target for the high performance metal segment or high performance segment. And I'm just trying to conceptually think about, if we have the growth in jet engines, albeit it's a small piece but growing substantially and you have an attractive position there. All else equal, is that still something that you can see conceivable achieving for the entire segment over the next several years? What does it take to get there? If you can help us with the big pieces.
Pat DeCourcy: Yes. Timna, this is Pat. I think the - all the agreements are in place. It's all about execution and we see a nice lift in operating margins year over year and getting back to that 20% level. We’re comfortable with that estimate and we've said that within three to five years, we expect to be there and we expect actually sequential improvement year on year. So in the neighborhood of 200 to 250 basis point improvement average each year for the next several years. And that will get us back to that 20% bogey.
Timna Tanners: Okay. So you’ve been all else equal in terms of some of the oil and gas, electrical energy, other components, they don't have to be big contributors? It can - aerospace …
Pat DeCourcy: Yes. Right. The way we look at that - what we have built into our long range forecast are - obviously the aerospace growth, it's very significant. In the oil and gas side, we look for improvements, but not back to that ’13, ’14 level as stated earlier. More like about 80% of the way back there. So modest improvements in ‘18 and then maybe a little bit more pickup in ’19 and ’20. And then contributions from the other important end markets that we serve, including medical and as Rich said earlier, defense. So those are assumptions built in there, but largely the driver is aerospace growth.
Timna Tanners: Got you. Okay. And then on the HRPF, I know we've talked about sharing some of the capability for the last three to four years if I recall. What’s different about these arrangements that may be more positive or making more progress? Is this because you're not looking at a JV and just talking about tolling arrangements? There’s still new capacity coming on, on the finishing side, on the rolling side as I understand it and some other competitive mills in the US. I’m just wondering, is there something different about these discussions than what we’ve seen in the past that could make them get across the finish line?
Rich Harshman: Yes. I mean I think so. First of all, I think there's something different from the HRPF of other mills that you’re talking about being built. I mean I'm not aware of anybody that's building something with the capability of the HRPF, number one. Number two, I think that the market conditions are different and better that are driving some of the demand from - especially on some of the carbon producers side that see opportunities that - in the market that maybe they didn't see before. And I think the HRPF is a proven concept. It’s not a concept. It’s not a theory anymore, right? It’s real and it's demonstrating itself. So I think it's a combination of those things. From my perspective, none of these things ever happen as quickly as you would like. I mean I would have liked to have had some of these in place in 2014 or 2015. Some - at that point in time, it was really ATI pushing the capability. I think today it's more - quite frankly, it's more people coming to us and saying hey, we understand that you have an HRPF here that's capable of doing this, this and this and we'd like to talk to you about it. So I have - that's a completely different scenario than us out there really pushing it. When you have people coming to us and saying, we want to talk to you, that gives you more confidence that it's real. There is interest there and it's more us being pushed as opposed to us pulling.
Timna Tanners: That makes sense, but you are not requiring a JV at this point? It’s more of a tolling discussion? Is that also different perhaps?
Rich Harshman: Yes. I mean we look at, if somebody wants and is considering or interested in discussing a JV, we’ll talk to them about that, right? If somebody - we've never said, even as far back as ’14, we've never said that we would not consider a conversion tolling arrangement. Matter of fact, we're doing some of that now. We've been doing conversion and tolling arrangements in a small way for two years on the HRPF. So it's just there's still significant excess capacity there that is available, and if there is an interested party that wants to talk about a different kind of a structure, we'd be happy to talk about a different kind of structure. And we're having both of those conversations.
Timna Tanners: Okay. Thank you.
Rich Harshman: Okay. Thank you for joining us on the call today, and as always thank you for your continuing interest in ATI.
Dan Greenfield: Thank you, Rich and thanks to all of our listeners for joining us today. That concludes our conference call.
Operator: The conference has now concluded. Thank you for attending. You may now disconnect.